Operator: Welcome to the CrossAmerica Partners Fourth Quarter Year-End 2021 Earnings Call. My name is Darrell, and I will be the operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Maura Topper. You may begin.
Maura Topper: Thank you, Operator. Good morning and thank you for joining the CrossAmerica Partners Fourth Quarter and Full Year 2021 Earnings Call. With me today is Charles Nifong, CEO and President. Charles will provide some opening comments, a brief overview of CrossAmerica's operational performance and highlights from the quarter and full year, and then I will discuss the financial results. At the end, we will open up the call to questions. I should point out that today's call will follow some presentation slides that we will utilize during this morning's event.  These slides are available as part of the webcast and are posted on the CrossAmerica website. Before we begin, I would like to remind everyone that today's call, including the question and answer session may include forward looking statements regarding expected revenue, future plans, future operational metrics, and opportunities and expectations of the organization.  There can be no assurance that management's expectations, beliefs, and projections will be achieved, or that actual results will not differ from expectations. Please see CrossAmerica's filings with the Securities and Exchange Commission, including annual reports on Form 10-K and quarterly reports on Form 10-Q for discussion of important factors that could affect our actual results. Forward looking statements represent the judgment of CrossAmerica's management as of today's date.  And this organization disclaims any intent or obligation to update any forward-looking statements. During today's call, we may also provide certain performance measures that do not conform to U.S. generally accepted accounting principles or GAAP. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release. Today's call is being webcast and a recording of this conference call will be available on the CrossAmerica website for a period of 60 days. With that, I will now turn the call over to Charles.
Charles Nifong: Thank you, Maura. Maura and I appreciate everyone joining us this morning. As always, we thank you for your interest in the partnership. During today's call, I will briefly go through some of the operating highlights with a fourth-quarter and full-year 2021. I will also provide some color on the trends in the market and a few other updates similar to what I provided on previous calls. Maura will then review in more detail the financial results. Now, if you turn to Slide 4, I will briefly review some of our operating results.  For the fourth quarter of 2021, our wholesale fuel gross profit was $36.3 million, a 51% increase when compared to the fourth quarter of 2020, driven by increases in both volume and fuel margins. Wholesale segment gross profit was $49.4 million, an increase of 34% or $12.6 million when compared to the fourth quarter of 2020. Our wholesale fuel volume was 356.9 million gallons for the fourth quarter of 2021, an increase of 16% when compared to the same period in 2020, largely due to the acquisition of assets from 7-Eleven as well as the continuing recovery from COVID-19.  In terms of same site volume performance in wholesale for the quarter we were up approximately 6% year-over-year. For 2021 wholesale same site volume was up approximately 9% relative to last year. We also saw an increase in our wholesale fuel margin per gallon for the quarter, reporting $0.10 per gallon compared to ¢7.8 per gallon for the fourth quarter of 2020, an increase of 31%. A year-over-year increase was primarily driven by the following factors. First, we benefited from increased volume to CrossAmerica's company operated retail sites, which we supply on a variable margin basis. Second, we continue to benefit from better sourcing costs due to the execution of certain strategic initiatives, such as our brand consolidation.  Finally, our wholesale fuel margin per gallon also benefited from higher variable fuel margins due to market conditions. On our wholesale rent, our base rent for the quarter was $13.4 million compared to the prior year of $13.2 million, a slight increase due to the reopening of certain previously closed sites. Our retail segment also performed well during the quarter as gross profit rose $12.6 million or 64% when compared to the fourth quarter of 2020. Our motor fuel gross profit increased 76%, and our merchandise gross profit rose 66% when compared to the same period of 2020.  For volume on a same-site basis, our retail volume was up 12% for the quarter year-over-year. On a same-site basis relative to the quarter in 2019, retail volume was down approximately 1%. For in-site sales, on a same-site basis, our in - sie sales were down 1% for the quarter relative to last year, and up approximately 7% for the quarter relative to 2019. These results continue the trend of our retail sites performing well on both volume, and inside sales metrics relative to the industry overall. As a reminder, and reviewing our retail segment financial performance, it is important to remember the wholesale segment supplies our retail segment on a variable margin basis. So the overall true profitability of these sites is split between our wholesale and retail segments.  The fuel margin to our retail sites recorded in the wholesale segment makes a meaningful contribution to our wholesale segment, and our overall profitability. That is not apparent looking at the retail segment financial results in isolation. With the acquisition of the 7-Eleven sites, we experienced an increase in both our operating and G&A expenses compared to the prior year. The increase in operating expenses was primarily driven by the addition of the 7 - Eleven sites, which increased our average company operated site count from 149 to 253, a 70% increase year-over-year. We have also experienced increases in labor costs at our retail sites, consistent with what has been experienced in the broader economy overall.  The primary drivers for the increase in G&A for the fourth quarter compared to the prior year for the acquisition costs associated with the 7-Eleven transaction and an increase in management fees related to the increase in headcount. Before I turn to reviewing our full-year results, I will add a few comments on the Omicron surge and its impact at the end of the year and the period since then. In the last two weeks of 2021, we did see a drop in retail store sales and our volume, both wholesale and retail. This continued into the first few weeks of January.  Since about mid-January, we have generally seen an improving trend and week-over-week volume and sales as overall activity picked up, as the Omicron surge begin to subside across our markets. If you will turn to the next slide, I want to briefly review our segment performance for the full year 2021. Our wholesale segment generated gross profit of $176.6 million for the full-year 2021, the 14% increase over the $155.5 million reported in 2020. The increase in gross profit was driven by a 20% increase in fuel volume with a $0.092 per gallon fuel margin, which was flat when compared to 2020. The $0.092 per gallon wholesale fuel margin is a historical high for a full year for the partnership. For the full year 2021, it was a year of transition for our retail segment as we added over 100 sites to our retail portfolio, driven by the acquisition of the 7-Eleven sites. Our gross profit increased 77% to $100.8 million. Other fuel gross profit increased 119% and our merchandise gross profit increased 72%. On a same-store basis, our volume for our retail convenience stores increased 15% for the full year 2021, relative to 2020; and was down approximately 3% versus 2019. Our retail store sales on a same-store basis increased 5% for the full year 2021 relative to 2020, and increased approximately 11% relative to 2019.  We have established a solid foundation for our retail segment as we enter 2022. With 252 company-operated convenience stores, and 198 commission agent sites at year-end. In early February of this year, we closed on the final three sites in our 106 site acquisition from 7-Eleven. These newly acquired locations have been re-branded to our proprietary store brand, Joe's Kwik Marts and have also been converted to one of our existing major branded fuel suppliers. With these sites and the 103 sites acquired last year, we continue the hard and un -glamorous work of integrating the sites into our retail portfolio to maximize their long-term potential. We also continue to evaluate our portfolio and look for opportunities to divest non-core properties. For the fourth quarter, we had nine property sales for $5 million in proceeds. For the full-year 2021, we divested 32 properties for $14 million in proceeds. Although the divestitures did not represent large dollar amounts, I wanted to take a moment to illustrate the economics behind our non-core property divestitures in 2021. In aggregate, the divested properties generated clearly less than $1 million in EBITDA on an annual basis. For certain sites, we were able to divest the properties while retained fuel supply to locations. Such an overall, we expect to generate the same or more annual EBITDA from a divested properties portfolio going forward, as we did prior to their divestiture.  We have been successful with these types of divestitures over the last two years. And the results I described are indicative of what we intend to do moving forward. We currently have a strong pipeline of transactions, and expect to have an active 2022 as we continue to process of recycling capital to invest in growth opportunities within our portfolio. If you turn to Slide 6, in terms of our objectives for 2022, we have a long and detailed list of goals we have laid out for ourselves this year. In summary, though, our goals are focused around a falling areas as outlined on the slide.  With our customers, our goals are centered around improving the customer experience, whether it's at our company operated retail sites, or for our dealer customers and their customers, in ways that will help grow our revenue, and to ensure we consistently provide a great experience to our customers. With our internal support groups, our goals are focused on increasing our efficiency and effectiveness so that we provide higher service levels to our operational teams, enabling them to focus better on our customers. And finally, strategically, our attention is focused on positioning our portfolio for the future, so that we are well-placed to maximize the value of our assets for many years to come. In conclusion, 2021 was an active year for partnership.  Many accomplishments of this past year would not have been possible without the efforts of the CrossAmerica team. I want to thank all our CrossAmerica team members for their hard work. It was a challenging year with the ongoing impact of COVID, and acquisition and integration of the 7-Eleven sites. However, due to their efforts, we are in a good position. As we enter 2022 to continue to execute on our plans, and to provide growth and strong returns for our unit holders. With that, I will turn it over to. Maura for more detailed financial review.
Maura Topper: Thank you, Charles, if you would please turn to Slide 8, I would like to review our fourth quarter and full year results for the partnership. We reported net income of $12 million for the fourth quarter of 2021 compared to $9 million in the fourth quarter of 2020. The increase in net income was primarily driven by the year over year increases in operating income in both the wholesale and retail segments, with each segment benefiting from a continuing recovery from the COVID-19 pandemic as well as the acquisition of assets from 7-Eleven. Adjusted EBITDA was $37.0 million for the fourth quarter of 2021, which was an increase of 51% when compared to the fourth quarter of 2020.  Our distributable cash flow for the fourth quarter of 2021 was $31 million versus $26.2 million for the fourth quarter of 2020. The 18% increase in distributable cash flow was primarily due to the increase in operating income in both the wholesale and retail segments, partially offset by an increase in cash, interest expense and no current income tax benefit for the fourth quarter of 2021 compared to a $6.7 million income tax benefit for the fourth quarter of 2020. For the fourth quarter 2021 adjusted EBITDA and distributable cash flow were record highs for the partnership. The 2020 current income tax benefit for the fourth quarter, and the full year.  With the results of taking bonus accelerated depreciation on assets acquired during that year. For the assets acquired from 7-Eleven in 2021, we have elected not to take accelerated bonus depreciation. So we will benefit from relatively lower taxable income over the life of these assets, as opposed to a one-year upfront benefit. Our distribution coverage for the current quarter was 1.56 times, compared to 1.32 times for the fourth quarter of 2020. For the full year. Our adjusted EBITDA was $123.3 million, representing an increase of 15% over the full-year 2020. Distributable cash flow remained relatively unchanged year-over-year at $102.2 million. Distributable cash flow for 2020 was benefited by a $14.1 million current income tax benefit related to the previously noted accelerated bonus depreciation compared to $0.5 million current income tax expense in 2021.  Our distribution coverage on a paid basis for the full-year of 2021 was 1.28 times compared to 1.31 times for the 12 months ended December 31st, 2020. If you will, please turn to the next slide. The partnership paid a distribution of $0.525 per unit during the fourth quarter of 2021 attributable to the third quarter of 2021 for a total of almost $20 million. And as I noted on the previous slide, this resulted in a coverage ratio of 1.28 times on a paid basis for the 12 months. In regards to our capital expenditures during the fourth quarter, we spent $9.5 million overall with $8.7 million of that total being growth related capital expenditures. This represented a year-over-year decline of approximately $3.1 million.  Growth related capital spending during the quarter included $4.7 million on the rebranding of the sites being acquired from 7-Eleven, approximately $0.8 million on rebranding of sites in our existing portfolio, and $3.2 million on other projects, including EMV upgrades and site improvements. The re-branding work on the site acquired from 7-Eleven is substantially complete at this time. As we move into 2022, we will continue to focus our growth capital expenditures on site upgrades in our wholesale and retail portfolio to drive improved performance at our locations. In regards to our capital structure, we have two credit facilities, JKM credit facility, and the Capital Credit facility, which I reviewed during our third quarter earnings call. As of December 31st, 2021, if we were to calculate a leverage ratio for the organization overall, as defined in our credit agreements. Taking into account our total debt levels, and the benefit of the pro forma impact of our newly acquired assets, our blended aggregate leverage ratio would be around 5.1 times, compared to approximately 5.2 times at the end of the third quarter of 2021. As I noted previously, with our credit facility, defined leverage ratios, and this blended aggregate leverage ratio will move down over the course of the next 24 months.  We will continue to move toward our target leverage ratio level of four to four and a quarter times on both a credit facility defined and blended aggregate basis. In conclusion, as Charles noted earlier, with our wholesale and retail segments performed well during the fourth quarter, contributing to a record overall quarter, and a strong year. We are in a good financial position entering the new year. As I noted, we have a plan to reduce our leverage over the next 12 to 24 months, and expect our coverage ratio to stay at or above our target range. Looking forward, we will continue to manage our balance sheet as we see the continued benefits from our 2020 and 2021 acquisitions and exchanges, and our other strategic initiatives on our overall performance. With that, we will open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions].
Operator: And our first question comes from Elvira Scotto from RBC Capital.
Elvira Scotto: Good morning, everyone. Just a couple of questions from me. I'm interested in your thoughts on -- views on gasoline demand destruction given the high gasoline prices and just even other inflationary pressures. So that's my first question.
Charles Nifong: Hey, Elvira, good morning. This is Charles. So yes, your question is a timely one, that's something that we think about. I would say, as of now, based on where prices are currently, in our view we haven't seen that yet, although it's tough to disentangle some of the effects of Omicron and then exactly what other things that are happening now. There's a level at which that will start to happen, and in particular we've looked at our premium pricing for fuel to see if that has had an impact yet. And again, as of now, it hasn't, but there is a limit. That's something that we continue to closely monitor. So that's on the fuel side.  On inside store sales, again, we haven't seen that. I caveat that with the same thing I said in the volume side, and that given Omicron and some other things that have happened, it's difficult to disentangle that effect. I think up until recently, we were just starting to see things get back to somewhat normal from the Omicron surge that happened at the end of the year, in January. So again, we haven't seen that, but it's something that we closely monitor.
Elvira Scotto: Okay, thanks. That's helpful. And then my second question. So it looks like margin $0.102 was higher than what we were expecting. And just curious on your thoughts on A, the key drivers there, and then B, just how sustainable you think that is.
Charles Nifong: Well, on a sustainable front, this is something that we've talked about on prior calls and some of our other competitors and other people in the industry have talked about in that with COVID, there appears to be somewhat of a structural shift in the market towards higher margins. And I've been somewhat reluctant to fully embrace that, but given what we've seen over the past year with the overall generally rising crude oil price environment. And also what we've seen here just recently and past periods with that type of crude oil price environment, we would've seen margins materially lower than what they have been.  And so we've been in a period now of 12 to 18 months where, you had what would've been historically very challenging fuel margin environment and it's been much better than what historically has been. And there are all sorts of different factors as to what people have ascribe that to, lower volume due to COVID. But I think that you've seen a general shift in overall industry behavior. And as people have said, the retail street price is being set by the marginal competitor, and they have a lot of pressures on them, inflationary pressures, volume pressures such that, that is sustaining an overall higher margin environment, and we certainly been the recipient of that, you see that in our numbers. And again, as that said, I was hesitant to embrace that, but it's been ongoing for such a long time, I think there's merit to that we are in a structurally higher margin environment and will be for some period of time going forward.
Elvira Scotto: Great. Thank you very much.
Operator: We have no further questions.
Maura Topper: Okay. With no further questions, that completes today's conference call. We appreciate everyone joining us today. If you have any follow-up questions, please feel free to contact us. Thank you, and have a great day.